Operator: Good morning and welcome to the JEC First Quarter 2017 Earnings Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Kevin Berryman, Executive Vice President and CFO. Please go ahead.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Thank you, Anita, and good morning and afternoon to all. We welcome everyone to Jacob's 2017 first quarter earnings call. I will be joined on the call today by Steve Demetriou, our Chairman and CEO. As you know, our earnings announcement and Form 10-Q were released this morning and we have posted a copy of this slide presentation to our website, which we will reference in our prepared remarks. Before starting, I would like to refer you to our forward-looking statement disclaimer, which is summarized on slide two. Any statements that we make today that are not based on historical fact are forward-looking statements. Although, such statements are based on our current estimates and expectations and currently available competitive, financial and economic data, forward-looking statements are inherently uncertain and you should not place undue reliance on such statements as actual results may differ materially. There are a variety of risks, uncertainties and other factors that could cause Jacobs' actual results to differ materially from what may be contained, projected or implied by our forward-looking statements. For a description of some of the risks, uncertainties and other factors that may occur that could cause actual results to differ from our forward-looking statements, see our annual report on Form 10-K for the period ended September 30, 2016, including Item 1, Business; Item 1A, Risk Factors; Item 3, Legal Proceedings; and Item 7, Management's Discussion and Analysis of Financial Condition and Results of Operations; as well as other filings with the Securities and Exchange Commission. We undertake no obligation to update any forward-looking statements. During today's discussions, we will make a number of references to non-GAAP financial measures. You'll find additional disclosures regarding these non-GAAP measures, including reconciliations of these measures with comparable GAAP measures in the presentation that accompanies our prepared remarks, which can be found on our Investor Relations website located at www.jacobs.com. So now please turn to slide three for a quick review of the agenda for today's call. As in past quarters, Steve will begin our first quarter earnings presentation with some comments on the business and our results for the quarter, followed by a summary of backlog and market conditions for each of our four lines of business. I will then provide some more in-depth discussion on our financial metrics and results for each LOB. I will continue with some comments on our restructuring and capital allocation initiatives after which Steve will finish with some closing remarks. After, we will open it up for some questions. With that, I will now pass it over to Steve Demetriou, our Chairman and CEO.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Thank you, Kevin. Welcome to our fiscal year 2017 first quarter earnings call. Before I begin, I'd like to recap the recently announced changes to our board of directors. Noel Watson, a true legend within our company and our industry decided to retire from the board last month. As many of you know, for more than 50 years, Noel has been wholly dedicated to driving our company's industry leading growth and success. He epitomizes inspirational leadership and has been a clear role model for me and everyone at Jacobs. And at the same time, John Coyne who served on our board since 2008 and who is an outstanding mentor to all of us on the leadership team, also announced his retirement. We wish both Noel and John success in their future endeavors. To replace the Independent Director position vacated by John Coyne, I'm pleased to welcome Robert McNamara to the Jacobs board. Bob brings a wealth of industry experience in many of the markets we serve and all of us on the board are excited to have him as a new director. Moving to slide five, I'd like to summarize our first quarter fiscal year 2017 results. As projected in last quarter's earnings call, the challenging global economic environment that we experienced the last few years extended into our first quarter, although with evidence that certain hard hit markets are starting to show signs of life. As a result of these prolonged market pressures, revenue burn in the first quarter was light at $2.6 billion. However, our focus on growth and specifically winning new business, is clearly gaining momentum. First quarter sales bookings were up 35% versus last year. And the higher value professional service component of our $18.1 billion backlog increased by more than $200 million sequentially. Equally important, unit gross margin improved to an overall company level of 16.4% of revenue as compared to 15.5% in last year's first quarter. And on the cost efficiency side of the equation, we continued to make great progress as we approached the final stages of the company-wide restructuring initiative that began nearly two years ago. Total first quarter SG&A cost was down 13% versus the same period a year ago. So, putting all this together, our strong margin focus, our rigorous internal cost discipline and improved operational performance contributed to first quarter EPS coming in modestly better than expected. On a GAAP basis, first quarter earnings of $0.50 per share was up versus the $0.38 per share achieved in last year's first quarter. And on an adjusted basis and excluding the discrete tax benefits of a year ago, we were pleased that our adjusted earnings of $0.68 per share stabilized versus last year's first quarter. I'm also pleased with the strong performance across the company in driving working capital efficiencies which led to a further increase in our net cash position by the end of the first quarter. Consequently, we announced an enhancement to our capital deployment strategy with the initiation of a quarterly dividend, while also continuing our share repurchasing program and increasing activity on exploring value-creating M&A opportunities. In early December, we hosted our Investor Day and presented our three-year growth strategy for the company and individual lines of business. As our current fiscal year progresses, we're beginning to see growth momentum build across the company, while we continue our transformation to a new stronger Jacobs. And, of course, in late December, we successfully concluded the Motiva arbitration, which was a very positive outcome for Jacobs, with the arbitration panel issuing a unanimous decision rejecting all of Motiva's claims and assigning no liability to Jacobs or our JV partner. So, moving to slide six. As I previously mentioned, our total revenue and backlog finished at $18.15 billion for the quarter, relatively flat versus a year ago, but down by approximately $600 million sequentially. The strengthening U.S. dollar was responsible for close to $200 million in negative foreign currency movements. And the decision by one of our clients to cancel a large pharmaceutical investment accounted for most of the remaining sequential decline in backlog. However, the underlying story in our backlog is much more positive. The higher-value professional services component of our backlog, which at $12.2 billion represents more than two-thirds of our total backlog, increased for the fourth straight quarter and ended up at the highest level reported since March of 2015. And compared to a year ago, our professional services backlog is up by over $800 million, despite more than $300 million of negative foreign exchange impact. So, as a result, the earnings potential in our backlog is measured by gross margin, is trending positively. As compared to last year's first quarter, gross margin in our backlog is up more than 10% and is almost modestly higher on a sequential basis. And when looking at the unit gross margin of our backlog as a percent of revenue, each of our four lines of business showed both year-over-year and sequential increases. So, we believe the increase in quality and overall positive backlog momentum is benefiting by our more disciplined approach and stronger focus on leveraging synergies across the company to win higher value work. Over the next four slides, I'll provide more specifics for each of our lines of business. Progressing to slide seven, our Aerospace & Technology line of business backlog remained steady at $5.1 billion versus last year and is up by more than $260 million year-over-year. It is also noteworthy that embedded in the A&T backlog is a year-over-year increase of $300 million of higher margin professional services work. The shift in mix to higher value business is offsetting a reduction in revenues associated with two contract re-bid losses back in the second half of 2015. Although we will continue to see pressure on our A&T backlog in the second quarter due to these prior year losses, we are optimistic that the strengthening pipeline of new business opportunities, estimated to now be at a record high level for our Aerospace & Technology business, will result in a growing backlog during the second half of this year. Across our markets, program funding continues to be stable, and we're targeting significant market share growth opportunities. Defense spending expectations are building momentum under the new U.S. Federal Government. Consistent with our strategy, we see significant opportunities in Weapon Systems Sustainment Services. In the first quarter, the U.S. Marines Special Operations Command logistics support contract win was a nice step towards organic growth in this sector. Also, positively during the recent quarter, we made good progress in resolving previously protested wins. A prime example being our award of the U.S. Air Force 53rd wing IT support services contract, which had been mired in protest for an extended period of time. The value of our awarded contracts remaining under competitor protests has significantly decreased to what we now consider to be the new norm of approximately $100 million of protested project awards. Homeland security, cyber and intelligence related markets remained strong as areas of national priority spend. Specific to our growing Jacobs Connected Enterprise service offering, the recently announced investment in ION software enhances Jacobs ability to deliver and manage Internet of Things capability for our global customer base across all four of our lines of business. The Jacobs Connected Enterprise suite provides clients the capability to connect, protect and analyze operational systems and data, and span several core functional categories including information technology and network infrastructure, cloud solutions, data analytics and cyber security. The diversity of our Aerospace & Technology business is a strength. The profitability of our U.S. telecom business continued to improve as unit margins increased, while we expand backlog with existing customers. In the UK, our position in the nuclear new build market continues to expand. In addition to the ramp up of work at EDF at Hinkley Point C, we've been appointed by NuGen as a strategic partner to assist them with overall program delivery. And we were also successful in winning an extension to an engineering support services contract we have with NASA and a technical support services contract with Ford Motor Company. Moving to slide eight, our Buildings & Infrastructure line of business is experiencing the best sales momentum in the company. Sales were up significantly versus the year-ago quarter and have continued to positively trend over the past several years. Our fiscal year first quarter backlog for Buildings & Infrastructure is now at $5.2 billion, which is up $120 million versus last quarter and more than $400 million versus the prior year period. Political dynamics are, for the most part, favorably impacting this business globally and seem to have unleashed some of the previous delays and opportunities. Specifically in the U.S., there was a flurry of activity late in the quarter of RFPs coming out across the federal, state and local levels, some fairly significant in size. Of particular strength for Jacobs in terms of recent wins and building pipeline opportunities are in highways, rail, aviation and federal buildings. Specifically in buildings, during the quarter, we were awarded critical framework agreements for the U.S. Army Corps of Engineers, the U.S. Air Force in Japan and the renewal of our position on the defense infrastructure panel for the Australia Defense Force. Also on the Buildings front, healthcare is strong with $15 billion in current projects under management across the U.S. And we're experiencing excellent momentum in Australia, where we won an architectural services contract for the New Wales – the South New Wales helped Blacktown Hospital in a principal design consultant contract for Queensland Health, Roma Hospital. There are also exciting growth opportunities in educational facilities in the U.S., UK and Australia driven in part by the expansion of students from Asia seeking higher education in these markets. And also on the Buildings front, we're actively targeting a select group of corporate clients and are seeing significant interest for fully integrated service delivery. Jacobs is particularly well equipped to respond to these needs due to our long-term client relationships across a number of industries such as oil and gas, pharma and chemicals. The global infrastructure market, specifically transportation, is providing growth opportunities in a sector where we have excellent market positions. We're seeing the UK government invest in infrastructure. Rail and transit spend globally continues to be positive, especially in California, the U.S. Northeast, the Middle East, Australia and Asia. Some recent wins include the Victorian Government Cranbourne-Pakenham transit depot, the transport for London-Camden station upgrade and a detailed design services contract for network enhancements for Sydney Trains. U.S. Federal highway spending remains steady, and we're focused on those states and counties which have recently funded revenue packages. Opportunities also exist in the UK, Australia and New Zealand. And we experienced several wins in the quarter, including the Florida Department of Transportation Turnpike, the Texas Department of Transportation I-30 design project and the Bruce Highway Upgrade in Australia. Investment in new and existing aviation facilities continues to grow across the globe. We've added top international aviation talent and developed innovative best practices to support our clients. This has led to a string of recent successes. After program wins toward the end of our 2016 fiscal year at LaGuardia and LAX, we had further significant wins in the most recent quarter, including at Heathrow and Melbourne airports, and are pursuing several other major airport programs around the world. Global water and environmental services markets continued to grow and we're having success in expanding our service offerings by leveraging our Tier 1 expertise in Europe and top quartile capabilities in Australia. We're pursuing a number of opportunities globally and we're pleased with recent wins, including a four-year extension to our Bear Creek Georgia Reservoir O&M contract, Miami-Dade Water and Sewer Department, Melbourne Water Treatment Plant expansion, and the ConocoPhillips Australia environmental services panel. And we're also excited about the recently announced acquisition of Aquenta Consulting, which strengthens our leadership in integrated project delivery services in Australia and across Asia Pacific. I'm now on slide 9 in the summary of our Industrial line of business. In the first quarter, we experienced a significant burn in our Life Sciences' backlog, especially in the field services component. We also had the cancellation of a significant biotech project associated with our client's decision to cancel the expansion. As a result, our quarter-end backlog was reduced to $2.5 billion. However, the margin impact of this decline in backlog was minimal as the first quarter professional service portion of our Industrial backlog remains solid. And in fact, is up nearly a $100 million versus the year ago quarter. In Life Sciences, despite the one single large project cancellation, the pharma market continues to be strong, particularly in the biotech space. The sector continues to look positive with a strong pipeline of new drug developments. We anticipate the third wave of expansions to include billing capacity for drug substances and supply chain optimization. During the quarter, we captured a significant biotech manufacturing project award for a confidential client in our actively performing site selection services for their new facility. Our geographic market share continues to grow as we capture opportunities in Switzerland, Northern Europe and Hungary and we're seeing green shoots of recovery in China and Singapore. We've had success in expanding our construction management, commissioning and qualification capabilities to provide end-to-end solution for our pharma clients and we also had several recent wins this quarter in the Sustaining Services space, a strategic growth opportunity for our business. Consumer goods and manufacturing spend is steady. This is an area of opportunity for us as we expect increased activity from increased existing clients looking to appeal to consumers who expect high quality, convenient personal care and wellness products that are environmentally friendly. This quarter, we secured two front-end project development opportunities demonstrating the pulp and paper sectors continued growth. An area of particular strength for us. We're also seeing growth as top brand in Tier 2 manufacturers looking how to provide consumers direct-ship and e-commerce options. We are being rewarded with extensions from sustaining services contracts resulting from our relationships, capabilities and our ability to deliver value as the upward trend continues in this sector. Our field services business continues to create opportunities for us, particularly, as the U.S. and UK industrial sector show signs of recovery. We're seeing increased interest in construction and maintenance prospects from clients we do not traditionally serve, such as within the nuclear and automotive industries. Capturing this type of work and leveraging the adjacencies within our overall corporate portfolio is a real growth opportunity for us. Overall, we're seeing positive growth in field services in multiple geographies and industries with increased sustaining services prospects. In the specialty chemicals sector, positive trends continue for our Technology business, as our clients address new environmental regulations for sulfur emissions. Additionally, several early-stage opportunities emerge this quarter for bleach and chemical plant prospects in Finland, Russia, Uruguay and the U.S. During the quarter, we were awarded a major sulfuric acid plant contract in Canada. And in the mining sector, we're seeing increased activity in preliminary studies and value-improvement programs. Positively, we secured three significant wins in our first quarter. Two for front-end engineering and design investments in Canada and the third for a five-year sustaining capital program. These awards along with a recent rise in copper and other base metal prices, are indications that mining and metal sector is beginning to slowly recover. Turning to slide 10, our Petroleum & Chemicals revenue and backlog continue to stabilize in the first quarter at $5.4 billion. I'm very pleased with the quality of recent wins in our Petroleum & Chemicals business as evident by the unit gross margin and backlog increasing versus both last year and last quarter. The upstream oil and gas market got a positive boost during the quarter by the OPEC agreement to cut reduction. Oil prices reacted positively, moving up to a $50 to $55 per barrel range by the end of our first quarter. While this is a positive, there still remains a relatively high level of caution and uncertainty on crude prices over the near term. Looking further out, the crude market is expected to continue its slow recovery as demand for oil is forecast to modestly grow over the next several years. We do, however, expect market forces will continue to cause price volatility and that current high inventory levels coupled with a gradual recovery at non-OPEC crude productions will moderate any runway of prices. LNG prices experienced similar upward movement. U.S. LNG exports have been gradually increasing and moving to Asia markets due to a combination of higher demand, higher prices, and LNG plant outages in Australia. And we expect continued interest in new market creation scheme such as gas to power, small scale distribution, green fuel and transportation fuel substitution, which create opportunities for smaller scale LNG plant logistics investments, which is an area where we are more competitive. Refining markets are generally steady with continued focus on efficiency improvements, regulatory compliance and maintenance that was deferred over the last couple of years. We expect larger capital expenditure projects to remain centered in the Middle East and Asia. Prospects that we are engaged in are driven by the relative demand for diesel versus gasoline, which require reconfiguration of some of the new higher conversion refineries, increased octane requirements, increased coker capacity requirements due to the MARPOL regulations on high sulfur bunker fuels, and the continued trend to bring transport fuel quality of developing countries up to world's specifications. The chemical sector remains our strongest growth trend. The numerous ethane crackers in the U.S. coming online this year adding 7 million tons of capacity is promoting significant downstream investments, creating significant opportunity as our initiatives such as oil to chemicals and other chemical derivative opportunities benefiting from cheap feedstocks. Small and mid-cap spending is increasing on projects where we historically have our strongest share. It is positive to see the increasing pipeline of opportunities. And as a result of several recent project wins, petrochemicals is forecasted to represent more than two-thirds of our Petroleum & Chemicals business for fiscal year 2017. Turning it now over back to Kevin.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Thanks, Steve. Now turning to slide 11, you will see a more detailed summary of our financial performance for the quarter. Adverse market conditions, as Steve noted, in certain end markets continued to impact top-line revenues during the quarter and resulted in revenues of $2.6 billion, down approximately 10% versus the first quarter of 2016. More positively, GAAP EPS was $0.50, up $0.12 versus the year ago quarter as costs associated with our restructuring efforts begin to slow as expected. On an adjusted basis, and when noting the $0.09 benefit in our EPS in Q1 of year ago associated with a discrete tax item, the company was effectively flat versus year ago on an operational basis at $0.68 versus a calculated figure of $0.69 in the year ago quarter. As Steve mentioned, backlog was $18.1 billion at quarter end and book-to-bill on a trailing 12-month basis remains above the weaker level seen in early fiscal year 2016 and finishing at 0.99 times compared to 0.92 times for the first quarter of 2016. Q1 gross margin percentage finished at 90 basis points versus the year ago quarter, further indications of our improved execution, our focus on profitable growth and cost discipline. Importantly, our gross margin percentage for our professional services business was also up and improved to a level that the company has not seen since 2014. For Q1, GAAP SG&A was reduced a significant $50 million versus the year ago period as restructuring cost began to abate as expected. On an adjusted basis, SG&A fell $14 million versus the year ago period, continuing the positive signs of our success to drive greater cost efficiency. Operating profit for the quarter was $89 million or $120 million on an adjusted basis. And on an adjusted basis, the OP margin improved 20 basis points versus the year ago period, as our unit margin improvements have mitigated some of the challenged end market dynamics that we have faced. Finally, our efforts to improve cash flows have seen working capital decrease of 41% versus the year ago quarter, with receivables down 14% over the same period. DSOs were lower than the year ago quarter by three days and Q1 free cash flow was $84 million, a $70 million improvement versus the year ago period. At quarter end, the company's net cash position now stands at $347 million, an improvement of $79 million over last quarter, and a strong improvement of $528 million from the year ago period. Before moving on to the next slide, I wanted to also note that we have made a one-time accounting adjustment during the quarter to update our foreign goodwill balances in connection with certain exchange rate differences. These required adjustments were made during the quarter and were identified given the additional transparency provided by and our transition to the company's enhanced ERP system implemented in Q1. These adjustments were offset in the shareholders' equity of our balance sheet with zero impact to our P&L and/or our cash flow. And only were related to the translation of our goodwill and intangible balances to our U.S. dollar functional currency. The adjustments were also deemed immaterial, and as such, we have made the correcting adjustments during the quarter. For further information, I refer you to our latest 10-Q that was released earlier this morning. So turning to slide 12, you will see the Q1 segment financials for our four lines of businesses. Regarding our Aerospace & Technology line of business, we saw a positive 6.4% increase in adjusted operating profit versus the first quarter of last year, and an increase of 170 basis points in our operating profit margin versus the same period. The improvement in the margin profile of the year was supported by a continued improvement in the margin mix of this line of business. The overall operating profit improvement occurred despite a drop in revenues. The reduction in revenue was driven primarily by certain unsuccessful rebids in 2015 associated with generally lower margin businesses. The margin in the quarter was further supported by additional project reserve releases given strong project delivery performance on several large projects. Meanwhile, the B&I business saw revenue improve by 3.1% versus the year-ago quarter. But due to the mix of work being burned, adjusted operating profit declined by 4.1% over the same period and margins were actually down a bit, 50 basis points. The margin in the quarter was impacted by certain project start-up delays which resulted in staff buildup costs being less billable than originally expected. Margins, however, are expected to rebound over the course of the year. The Industrial line of business also saw an increase in revenues for the quarter of 11.8% versus the year-ago quarter. However, adjusted operating profit was down 8.1% versus the same period and margins were also off 70 basis points. The primary driver of revenue growth would sum our Life Science business, although much of the incremental growth in this revenue was at lower margins due to field services work building on several major projects. In addition, our mining and minerals business also contributed to some of the margin weakness, given the impact of a project settlement in Q1 of the current year. Sequentially, our Industrial business rebounded well versus Q4, almost doubling from the Q4 figure of $13 million. Lastly, our Petroleum & Chemicals line of business saw a 32% decline in revenue for Q1 versus the year ago period, but a more positive 30-basis-point increase in operating profit margin, as we increased our higher margin professional services workload in Petroleum & Chemicals. The fall in revenue was driven by the challenging end market dynamics that Steve has previously mentioned, but the margin improvement is a clear indication of the strong focus on cost, efficiencies and more profitable work. So, moving to slide 13, you'll see the split of segment operating profit by each line of business on a trailing 12-month basis for fiscal years, first quarter 2017 versus the year-ago period. As we've previously highlighted, our revenues in segment operating profit mix continues to evolve towards higher growth and higher margin businesses, consistent with our strategy. Two thirds of our segment profit now comes from our two highest margin businesses, and which those two combined have increased their percentage of total segment operating profit by 9 percentage points versus the year ago trailing 12-month period. In addition, revenues in corresponding segment operating profits from those portions of our portfolio most impacted by challenged commodity prices continue to represent smaller portions of our overall mix, respectively. However, as these markets begin to rebound, we believe we are well-positioned to leverage our global talent and skill set to see strong improvements in these businesses as well. In summary, the profit mix of our portfolio continues to underscore the industry-leading diversity and stability of our portfolio. The diversity positions us well for profitable growth; as one, we continue to drive growth in our higher margin businesses; and two, we position ourselves to drive growth in those businesses currently impacted by weaker commodities, as these markets begin to recover. Moving to slide 14. Over the quarter, we continued our efforts to improve our financial discipline and performance, while further enhancing our business structure and operations. The 2015 formal restructuring program is nearing completion, and has significantly enhanced our cost effectiveness as evidence by the reduction in adjusted selling, general and administrative cost of $62 million in the first quarter of 2017 versus the first quarter of 2015. The last reported quarter prior to the initiation of our restructuring program. Our lines of business realignment has further supported the restructuring effort, enhancing leadership focus and accountability. We will continue to take a rigorous approach to tracking business expenditures, and the return expectations associated with that. To that end, we previously announced during our fourth quarter 2016 call, and 2016 Investor Day that we are forecasting strategic investments to support various initiatives, and our pivot to growth. We have taken a very disciplined return on investment approach to these expenses, and much of the focus as you know is on upgrading our systems and tools. Our spend on these strategic investments started later than originally expected as plans were vetted and ultimately finalized. We now expect the spend to accrue over the first three quarters of the year as we continue to evaluate the mix of investments and returns associated with them. In Q2, we expect investments to approach approximately $0.05 earnings per share. Finally, slide 15 provides a short update on our capital allocation program activities for the first quarter. During the quarter, we continue to execute our share buyback program in a balanced and measured approach purchasing 600,000 shares for a total of $30 million. We have now spent $183 million of our approved $500 million share buyback program, purchasing 4 million shares in the process. We plan to continue to execute the remaining $317 million of this program in a balanced manner over the remainder of the three-year term of the program. In addition, we were excited to announce at our 2016 Investor Day that our board approved the implementation of a dividend program in fiscal year of 2017. We were also pleased to follow-up on this news by declaring in January a dividend of $0.15, a quarterly dividend payable on March 17 to shareholders of record at the close of business on February 17. Given the significant improvements we have implemented at Jacobs, and our continuing belief in being able to drive strong cash flows, we believe returning excess capital to our shareholders in this manner is an appropriate use of cash, and we'll continue to support shareholder value. Of course, we also believe that the strength of our cash flow not only supports these returns of capital to our shareholders, but still provides ample and the needed cash to support the most important use of cash, investments to drive our profitable growth strategy. To that end, after the close of the quarter, we have made two key growth investments. The first was our recently announced acquisition of Aquenta Consulting in Australia, which will support our integrated project service delivery in the Asia Pacific region. And then, of course, Steve also mentioned the investment on our new ION Software program, which will aid our Jacobs Connected Enterprise suite of services and enhance our ability to deliver, extend and manage this key growth initiative. With that, let me hand it back over to, Steve.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Thank you, Kevin. Moving to the last slide, we're pleased with the progress of enhancements we've made at Jacobs over the past 18 months, and the transformation that's now underway. We remain diligent in our pursuit of increased operational efficiencies, and are driving a number of significant improvement initiatives. Key over the next several quarters will be a continued strong discipline and focus on improving margins and cash flows. Overall, we continue to project a stable fiscal year with strong underlying operational performance. Our adjusted EPS guidance remains at $3 to $3.30 range. This includes certain strategic investments associated with our strategy implementation, which we will continue to make in the second quarter. However, the key change occurring in the company is our shift from a total focus on cost restructuring over the last two years to now a relentless focus on winning new business that provides profitable growth. From a market standpoint, we're more positive, partly because certain hard hit markets, such as oil and gas and mining are showing signs of life. But also due to the more robust dynamics of buildings, infrastructure, aerospace, technology and pharmaceuticals markets. All of this is giving us more confidence that we will see an increase in Jacobs' backlog in the second half of our fiscal year, positioning us for a stronger 2018 bottom line performance. The key is staying focused on executing the growth strategy we presented in December. This includes focusing and investing in the priority targeted markets and geographies where we see the best growth and margin profile, where we have differentiated capabilities and fit, while continuing to execute on a series of transformational initiatives that will ultimately drive a higher-growth, higher-margin, higher-return business; all with the ultimate objective of increasing shareholder value. With that, I'd like to thank you for listening, and we'll now open it up for questions. Anita?
Operator: We will now begin the question-and-answer session. The first question comes from Jamie Cook with Credit Suisse. Please go ahead.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi, good morning. I guess, a couple of questions. One for, Kevin and then one for Steve. Kevin, on the strategic investment, how much is the first quarter? I know you said $0.05 will hit the second quarter, and there'll be some in the third quarter?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: We estimated about that same level.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: So, $0.05 in the first quarter?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Yes.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Because I guess, as I sit here and if I just take the fourth quarter, and then we're going to have incremental headwinds from the investment, $0.10 over the next two quarters. If you take the first quarter, you multiply by four, it implies you're $2.70 something with $0.10 more in incremental headwinds. So I'm just trying to understand what are the drivers behind the EPS ramping, the main drivers to get to even the midpoint of your guidance. I understand, the margin profile within the backlog is better. But we're still seeing significant sales decline. So I mean, is the lower-end, low to midpoint more likely or am I missing something? And then, I guess my second question, Steve, obviously, on the A&T side, the profitability was good. It sounds like there's a lot of potential – the bid opportunity looks pretty good. So could you just help me with one, in terms of the bids outstanding when you expect those to hit and does that help more 2018 versus 2017? And then, I think, last quarter you said you expect revenues to be under pressure for the full-year, is that still the right way to think about it, just because it matters with – just because that's your more profitable business? Thanks.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Jamie, let me take a stab at a couple of the comments and then, Steve, wants to add some color commentary. First thing is, and you mentioned it actually in your question is the gross margin in our backlog is improving. And ultimately, we believe that, that gains additional momentum over the course of the year. And we do believe that, as the incremental focus that's being placed on the growth initiatives, which Steve alluded to in his closing comments is real. And so, the portfolio, both the near-term and the balance of the year growth opportunities are positive. So we see those things improving over the balance of the year. We still feel that $3 to $3.30 is an appropriate number, and that's what our forecast and expectations will be at this point in time. I will tell you, and you heard me say it in Q1, that it is going to be important for us to develop some growth momentum over the course of the year. So, we're seeing that happen already with the gross margin and backlog, and we expect that, that will continue to happen over the course of the year.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. So, Jamie, building on that and addressing your questions, let me start with the last part of it when we look at sort of the top line. As I mentioned, we see backlog bases building momentum through the year, and we see the same thing from revenue that will hit our P&L. So the same sort of second half stronger than the first half, which bodes well with regard to starting to see some year-over-year growth on the revenue side as we get into the second half. And when we look at that, it's pretty much across the company. Aerospace & Technology, which you've talked about, I can't emphasize enough our excitement around the pipeline. It's very robust. We're very excited about it. It does take time and probably more time in A&T than in any of our businesses to see it play through, because of some of the protest issues that go on in that industry. But we are bullish as we get into the second half. And I would say, of all the businesses that probably bodes well more for 2018 and 2017, because of the cycle time that I mentioned. Buildings & Infrastructure, clearly, a business that's building momentum, as we've seen quarter over quarter over quarter growth that will contribute to our second half strength versus the first half that Kevin talked about in this year's P&L, as well as a growing backlog. Industrial, we had some one-time issues in the first quarter as we mentioned on the mining business, a project completion write-down that we took that we'll see some momentum with that, and some of the other factors in that business. And then Petroleum & Chemicals, we also see building momentum as we get through the year on work that we won late last year, and also, some good book and burn business in the second half. So...
Jamie L. Cook - Credit Suisse Securities (USA) LLC: I guess just to – just to be more clear, Steve or Kevin, to meet the low-end of your guidance, can you get there just on the margin improvement that you're seeing in your backlog or do we need incremental wins as well to hit the low-end? I'm just trying to figure out how I think about the low-end versus the high-end?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Well, there's a couple of things, Jamie, to think about. The other piece you didn't alluded to, which I think is, at least part of the equation is the incremental savings we're getting relative to the topping-off with a restructuring. So it's not the huge amount of money, but there is incremental savings that we'll see in the back half. So that will be a tailwind for us. As it relates to our margin profile that we have now, we're going to need additional margin wins to ultimately get to certainly the top-end of our range. So I think, the bottom end of the range will probably be more associated with – we're not seeing some of those incremental improvements that we expect.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. That's helpful. Thank you. I'll get back in queue.
Operator: Our next question comes from Jerry Revich with Goldman Sachs. Please go ahead.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Jerry, are you there?
Jerry Revich - Goldman Sachs & Co.: Hi, good morning, everyone. In Aerospace & Technology, you folks had excellent margin performance in the quarter; in the Q you spoke about some project close-out benefits and better progress on fixed price work. Can you just maybe parse that out for us? What was the project benefit? What do you expect the run rate margin of the portfolio to look like over the balance of the year?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Let me start just from a sort of a commercial and a mix standpoint that, clearly, the business, we mentioned some contract rebid losses in late 2015 that being replaced by new wins. The new wins are clearly higher value, higher margin business than the business that we were burning off on the contract rebids, the contracts that we had previously. So, there's been a very nice mix upgrade on the markets that Terry Hagen and his team have been going after. And it's consistent with the strategic focus that we talked about at Investor Day. Kevin, you want to take the, kind of the financial piece of that question?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Yeah. Look, I think, the pop-up in the margin for the quarter specifically can pretty much attributed to some of the project stuff that we alluded to in our prepared remarks. I won't go into the details as it relates to that. But the margin you see in Q1 is not necessarily sustainable until we kind of see the building momentum as Steve has outlined, as it relates to the margin profile longer-term.
Jerry Revich - Goldman Sachs & Co.: Okay. And then, regarding the two contracts that are rolling-off, when will we have annualized the revenue run rate of those contracts completely off the books? Can you calibrate us there?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: I think it's probably around third quarter, I believe...
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: ...is where we'll – third and fourth quarter is when we'll be past it.
Jerry Revich - Goldman Sachs & Co.: Okay. And then you folks have been looking to build backlog in your Chemicals business; exiting 2017, I'm wondering if you could just provide an update on those prospects and the derivatives work and any color you can share since the Analyst Day?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. I'd say everything we've talked about on the Investor Day is continuing to play through, very robust pipeline on the Chemicals side as we've talked about. We did a lot of front-end engineering design work last year. And what's happening now is, we're converting many of those to full EPC, EPCM projects. A lot of activity around the world, a lot of foreign investment coming into the U.S. to take advantage of some of the energy dynamics, cheap feedstocks and joining forces with – and joint ventures. And we're participating in several of those in the U.S. and Europe. German – the major German chemical players, a lot of activity there. And we're a leader in that market with a geographic presence and our capability. Asia Pacific, especially we're seeing Singapore, Indonesia, other markets, strong prospect. So and of course, I'm sorry, Middle East, that seems to be a lot of focused investment there, a lot of integrated refining chemical projects sort of new creative initiatives. So, we're very excited about that, and it's clearly the richest part of our pipeline.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you very much.
Operator: Our next question comes from Steven Fisher with UBS. Please go ahead.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Hello, Steven.
Steven Michael Fisher - UBS Securities LLC: Hi, could you just give a little more color as to why the revenue burn, it sounds like it was a little lighter than you expected in the quarter. And it sounded like your answer to Jamie, is maybe that the second half of the year we start to see the revenue start growing year-over-year, is that the right way to think about it?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Well, look one comment specifically – look, we're still comparing to Q1 of a year ago in our Petroleum & Chemicals business where we were still falling as it relates to that. We think we're getting to a point where we're going to become more stabilized, so that's going to end up improving the year-over-year comparison going forward.
Steven Michael Fisher - UBS Securities LLC: Okay. And why...
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. Let me just add to that, that I think, we've been pretty clear over the last year and a half that we're shifting to a more disciplined approach of not growing for the sake of growing, but growing profitably. And a lot of that has been shifting away from low-margin business to high-margin. Less focus on projects where we end up putting on the books on low-value field services work to where – we only want to do those projects if they're going to create value. And so, as we mentioned earlier, even though we have sequential backlog decline because of some of the dynamics about the large pharma, et cetera, the gross margin in our backlog is increasing. Our P&L, gross margin is increasing. I think, there's evidence that the quality of earnings are increasing and we're seeing underlying growth in that. And we believe that will start to play out in the actual P&L revenue by the second half year-over-year. So, we've been less focused. When you say below our expectations, that's not a number we've been focused on over the near-term, because it really, to us, is meaningless. What's more important is the gross margin improvement, the unit gross margins and ultimately the operating profit. And so, we're actually pretty pleased with the progress there and I think it will play out as the rest of the year goes on.
Steven Michael Fisher - UBS Securities LLC: Okay. And it sounds like despite – due to the more stable oil prices, customers are still a bit tentative. What are they asking you for at this point on the projects that have been pending for a while? Are they still looking for more ways to take cost out of the project, is it different scopes or are they really just sort of waiting for something to give them the confidence to really pull the trigger?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: So, if you look and based on the clients we've talked to plus publics information, it's almost a 50/50 CapEx story. Half the companies are stabilizing to increasing CapEx and the other half are still shaving CapEx for cash flow. I think all of them are focused on prioritizing now maintenance and turnarounds that they deferred over the last couple of years and that's a sweet spot for us and that's what we're focused on with our clients. The other is any growth CapEx that has a short cycle return. So, very short-term payback type projects – productivity, very much productivity oriented. And that's a big focus for us, for a majority of our clients. Yes, we're involved in some of the Middle East and larger projects that will have a longer payback, but those are really focused far and few between, but I think the majority of it is really around regulatory maintenance, sustaining capital and quick return projects.
Steven Michael Fisher - UBS Securities LLC: Got it. Thanks a lot.
Operator: Our next question comes from Andrew Kaplowitz with Citi. Please go ahead.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Hi. Good morning. It's Alan Fleming standing in for Andy today. Kevin, maybe I can start with a question on cash. I mean it looks like you converted about 100% of your adjusted net income to free cash this quarter, and I think 1Q tends to be a seasonally weaker quarter for you guys in terms of cash generation and I know you had talked about reducing the DSOs at the Analyst Day and it looks like you did that. But I guess the question is, did you maybe make a little bit more progress this quarter than you had expected? And is that progress sustainable? And then, what does that mean for the rest of the year given the target you put out there of kind of one-time net income I think over the next few years?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Thanks for the question. Look, I think the reality of Q1, you're right. Certainly last year was a little bit lower in terms of the results in cash flow versus the balance of the year. But there can be some fluctuations in the quarter and you'd look back over time, you'll note that. I would say with the fall in the revenue that there is some incremental benefit that's occurring in our cash flow because of the working capital benefit. And so that has certainly helped support the Q1 cash flow. I don't think it has any implications differently than what I would have suggested relative to what we're going to try and do from a cash flow conversion perspective. But certainly, you need to take that into account as you're evaluating the analysis on cash flow because there was some benefit just because the business was down in revenue and so, obviously, working capital will go down relative to that. But we also saw some efficiency gains. And those efficiency gains are the things that we will need to continue to focus on to get the kind of targets that I've outlined as it relates to our future cash flows.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Okay. I appreciate that Kevin. And then maybe a follow-up for you, Steve. You talked about mining in your prepared remarks. And I know mining is still a relatively small part of the business today, but you have the capabilities and resume for doing more mining work than maybe some of your peers do. And so, I'm wondering how do you see your mining footprint evolving over the next 12 to 18 months? And is it worth getting excited about mining today for Jacobs or is it just too early?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Well, we're not going to get ahead of ourselves, but we're clearly more optimistic today than we were 6 to 12 months ago. We've maintained, as you said, a very strong presence, strong team, talent base in where we think the money is going to be spent, places like South America, both Chile and Peru, Australia, we have – and other capabilities around the world. And we're involved in some of the key projects that are starting to get put back on the table. And so, I think, the other big factor there is the productivity of the whole mining sector has eroded, if you measure sort of the productivity of the mines over the last decade. And so I think between the clients wanting new innovative ways of improving the expansions or grassroot projects to be much more productive, as well as the fact that copper prices are now up 25% versus where they were six to nine months ago, and other metal prices are improving. There's more optimism building around CapEx spend and projects for us going forward.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Steve, do you think you can grow Mining backlog in 2017?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: I think the answer is yes, but it will be fairly immaterial based on the starting point because our backlog just got destroyed over the last two or three years. But we're now getting more excited about what that backlog could look like going into 2018 and beyond. So, we'll just leave it at that.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Okay. Thanks, guys. I'll pass it along.
Operator: Our next question is from Tahira Afzal with KeyBanc. Please go ahead.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thank you. Hi, folks.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Hello, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: I guess, first question, if I look at your longer term margin ranges that you gave at the Analyst Day, the two segments I noticed that's still a little below clip is Building/Infrastructure and Petroleum & Chemicals. Should we be seeing some visible improvement? What the range is as we head into the second half of the year? Is that where we should see that margin commentary you made really materialize?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Well, I think Building & Infrastructure, the more we grow, the better that margin can play out because we are pre-investing now in resources to go after the bridge pipeline that's emerging. And so, I think a lot of that will be building the backlog and continuing to drive some of the efficiencies across the company. And then getting some of these pre-invested resources build on to these growth projects will help build the margin over the course of the next couple of years, consistent with our strategy. Petroleum & Chemicals, I think clearly that margin has been under pressure because of the excess capacity in the industry. And as that business starts to recover, we should see a bit more discipline in margins across the market, but I would also say that P&C of all four of our lines of business has the most robust productivity, internal productivity efficiency improvements in the company when we look at transform the core. And that should play out with margin improvement through the three year strategies period that we talked about.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. And I don't know if this question is more for Kevin. But the investments that you have made in the first quarter, are they concentrated in any one segment? Are they on the corporate side? Just to get an idea of how to think about them.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: It's spread across the – both the LOBs and the corporate business and then, of course, our corporate investments, ultimately much of them get allocated back to the LOBs anyway. So, there is some investments that are hitting the LOB operating profit, but it's spread across and they're all investing behind strategic initiatives.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. My last question is more macro. As you try to grapple with all the implications of what the new administration is proposing, clearly some positives on the Infrastructure and perhaps defense side. But would love to get your thoughts on how your customers are thinking about some of the (59:41) and some of the new labor – newer regulations that might come out. You guys outsource quite a bit really – well, not outsource, but have centers outside of the U.S., which are pretty effective and competitive. So I would love to get your initial thoughts on this.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: So, look, I think it's way too early to try and figure out all of this. There's a lot of things that have been thrown about as it relates to potential tax-related activities. I guess the way I would characterize it, Tahira, is that I do believe, if anything, it's a net positive. If you look at one of the items in isolation, perhaps it goes one direction. But I think collectively, the all-in kind of view that we have at this point in time is that it's going to be incrementally positive. How much? That is the case. Who knows? But that would be our view at this particular point in time.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. Thanks, Kevin.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Yeah.
Operator: Our next question comes from Andy Wittmann with Robert W. Baird & Company. Please go ahead.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Great. Thanks. I guess my first one is for Kevin. We just noticed that the unbilleds were up pretty materially I guess quarter-over-quarter. Is there anything there that we should be aware of in terms of projects that are notable that are driving that?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: No. I don't think so. Andy, I do – look, as we track our receivables and what not, we are continuing to do a really good job in reducing our over dues and our aging of our receivables is improving over time as opposed to not. And we do include the non-billeds in that calculation. So, we're actually feeling – we're not perfect. There are some things that we always need to be focusing on. But overall, we're pleased with the progress we continue to make.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: All right. And then, I guess, my second question is on M&A. And you guys talked about some of the characteristics and even some of the markets that you'd be prioritizing at the Analyst Day. As you stand here today, can you just talk about the robustness of the pipeline? Maybe if you can give us some context about some of the size of the deals that you're looking at? Do you feel like the environment is conducive, in other words, to doing some larger scale M&A, especially considering the valuations that we've seen run in the sector? I'd like to get your perspectives on that.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Well, we shut down our M&A process during the restructuring period as we focused on the things we needed to improve the company and develop or transform the core strategy. But over the last several months, we've rebuilt our internal M&A process and we have a full-time leader, Jeff Goldfarb, who runs the M&A process and a team in place both corporately and across the lines of business. And so, there has been an increased activity in the company around following the strategy development starting to look at what's consistent with that strategy we presented in December. And there's a lot of interesting assets out there, both (01:03:11), small bolt-on opportunities, I'd say especially in Aerospace & Technology and Buildings & Infrastructure. But, of course, there is some things that we're starting to look at that could be larger in size. But of course, we really need to understand how they fit with both our strategy, our margin, return expectations. And so, a lot going on in the company and really not much more to talk about other than that at this stage.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: All right. Thank you.
Operator: Our next question comes from Michael Dudas with Vertical Research. Please go ahead.
Michael S. Dudas - Vertical Research Partners, LLC: Good morning, gentlemen. Kevin, just making sure your thoughts on bidding expense and it sounds like you're making investments to take advantage of this year to show the growth over the next handful of years. Do you see an year-over-year increase in the amount spending on winning new work and has the restructuring into the lines of business helped with that process and maybe you make that process more efficient from an expense standpoint? Thank you.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Thanks for the question, Mike. Look, two things. One, there are some instances where we're suggesting that we want to increase our kind of bid cost. But, what's really happening more so than that is we're focusing more on where we believe the margin and the opportunities are that allow us to profitably grow going forward. So, we're being much more effective in terms of how we're spending our bid dollars in the belief that we're going to be able to have a greater return base as the same numbers. And so, there isn't significant increases due to that fact and the preliminary successes that we're seeing is certainly indicating that that can happen.
Michael S. Dudas - Vertical Research Partners, LLC: Excellent, Kevin. Thank you.
Operator: Our next question comes from Anna Kaminskaya with Bank of America Merrill Lynch. Please go ahead.
Anna Kaminskaya - Bank of America Merrill Lynch: Morning, guys. My first question is just on the guidance, more of a cleanup question. What are your assumptions on corporate expense tax and maybe cash flow deployment?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: We've talked about the tax kind of being approaching the low 30s for the full year. That's been our number. We're not changing that expectation. So, our plan is still in place as it relates to that. Corporate expenses are relatively stable.
Anna Kaminskaya - Bank of America Merrill Lynch: Okay. And do you assume much of buyback or just more similar to what we've been seeing recently?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: I would say that in Q1, it was a little bit lower than normal because we have a process whereby we pulse it depending upon current trends of the share price. And as you recall in Q1, we had some few periods of time where we were over $60 and we weren't in the market at that point in time. So, probably a little lighter in Q1 than where we would expect to be going forward.
Anna Kaminskaya - Bank of America Merrill Lynch: Okay. And my question is more on just backlog versus looking and focusing on maximizing margin. I guess looking at your statements at the Analyst Day last conference call, you sounded pretty positive on growing new awards, markets seems to have stabilized on the commodity side. Do you find it difficult to grow backlog while making sure that your gross margin is going up? So, is there a dynamic of you maybe kind of not losing market share, but exiting certain contracts and that will continue to be dragged into 2017. I mean, I know you provided positive guidance for the second half, but how do you see that trade-off playing, kind of impacting your backlog going forward?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. I think the – look, all those things are items that we're very focused on and want to make sure we manage correctly. Clearly, when you shift from a multiyear cost restructuring culture in the company to one that is now the strong message of growth and the focus and priority, that doesn't happen with a snap of the fingers, it takes a few months, a few quarters to build that momentum. That started around the Investor Day. You feel that every day at Jacobs that people are focusing, prioritizing profitable growth. And the word profitable is always in front of the word growth and I think that's a big change from the past, recent past. And so, I'm not – I don't really – we don't have concerns about market share because the key markets that we talked about in our strategy, we feel very capable today of protecting and growing with the teams that we have, where I think we're doing an excellent job in building talent. I'd say aviation is a prime example where in a very short period of time as our teams projected and that being one of the highest priority markets that provide good growth dynamics, we've significantly added world-class talent. We're winning, it feels like all the programs that we should win. Knock on wood, it's been a string of successes and we have several more in front of us. So – and I think the major challenge is just to make sure culturally all 54,000 of our resources understand that it's now all about profitable growth while maintaining the success that we had in building efficiency and driving those specific – transform the core initiatives that are underway and strengthening the foundation. So, I'd say that's the way I summarize it.
Anna Kaminskaya - Bank of America Merrill Lynch: Okay. And then maybe just a quick follow-up on your announcement of Connected Enterprise. Kind of what's the pay-off on the investment? Is it a new end market where you'll look to grow your, I guess, backlog or is it just more of your being able to execute projects better and being able to kind of move some of the work around your different regional offices?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. Look, the Jacobs Connected Enterprise is really building off of a lot of what our Aerospace & Technology business is all about and benefiting from the add-on investments that were made over the last couple of years. The Van Dyke acquisition that brought cyber securities strength to us, the ION investment and several other initiatives, as well as talent that's been brought in by the Aerospace & Technology Group is now being extended across the other three lines of business. And that's something that we hadn't done in the past. And all of our clients, whether it's oil and gas, pharma, mining, they're looking for state-of-the-art digitalization techniques, Internet of Things, and really driving productivity and innovation into their projects. And we bring that suite of offering via the Jacobs Connected Enterprise, I think, in a very unique and differentiated way that is building momentum rapidly. And so, it really was all about taking that into the other three lines of business, and there's great momentum being built. And so, it's really not about creating a separate business line, but more around gaining more share of the market as a result of this added offering.
Anna Kaminskaya - Bank of America Merrill Lynch: Great. Thank you so much.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Anita, perhaps we can take two more.
Operator: Okay. Our next question comes from Chad Dillard with Deutsche Bank. Please go ahead.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. Good afternoon. You've been pulling down the depreciation expense pretty consistently over the last several quarters and that's definitely helped your margins. So, can you speak to how sustainable that continued reduction can be going forward? And how should we think about that line item after restructuring is all done?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Chad, I think it's clear that what's going on there is part and parcel to our restructuring and streamlining of our fixed asset base specifically as it relates to our office configuration. So, we are – we're not planning once we kind of do this restructuring and finalize up and start adding back offices all over the place. So, I think ultimately, we believe that we're going to be able to have a disciplined approach to our incremental investments after the restructuring such that we are better able to leverage our existing infrastructure without significant additional CapEx. Could there be CapEx now and again associated with key initiatives? Absolutely. But that's not our intent.
Chad Dillard - Deutsche Bank Securities, Inc.: Got it. And can you also provide a little bit more color on what you're seeing in your UK business? How did it fare in the first quarter, and what sort of visibility do you have over these next 9 to 12 months and maybe you can break it out between what you're seeing on the private side versus the public side?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Our UK business, which a big part of it is our Building & Infrastructure business as well as the nuclear business that cuts across both B&I and A&T, has been pretty steady. The whole Brexit, post-Brexit issues and concerns are there. There's been a few delays caused by that. But generally projects are moving forward, especially the areas that we're involved in around rail and highways, nuclear, et cetera. And we're pleased to hear that there's some projections for some steady growth on GDP being projected coming out of the latest estimate. So, all in all it's been steady for us and we don't see any material issue so far associated with some of the turmoil going on with what's going on between the UK and Europe.
Chad Dillard - Deutsche Bank Securities, Inc.: That's all for me. Thank you.
Operator: Our next question comes from Brent Thielman with D.A. Davidson. Please go ahead.
Brent Edward Thielman - D. A. Davidson & Co.: Yeah. Hi. Thank you. The bump in professional services backlog specifically, is that spread across the platform or focused in any segment? Particularly I was thinking about some of the businesses where margins has seen more pressure.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. It's really across the board. When I look at the backlog sequentially, PMC, professional services was up in the first quarter versus fourth quarter. Building & Infrastructure was up. Our Life Sciences business, for example, which we told you was hard hit with that cancellation, the engineering services or professional services is actually up in the first quarter versus fourth quarter in spite of that. The rest of our Industrial business is up and our Aerospace & Technology business very modestly up. So, it's across the board when you look at the professional services, engineering service side.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: What's also interesting to note is that as it relate to the foreign exchange changes on the professional service, Steve talked about the consolidated. On professional service, I think about 80%, 90% of the foreign exchange sequentially versus a year ago was because of the professional services piece. So, if you take that into account, the professional services versus year ago is even stronger and it's broad based.
Brent Edward Thielman - D. A. Davidson & Co.: Okay. That's very helpful. And then as a follow-up, in Industrial in the project cancellation, you seem very optimistic about Life Sciences, so I assume this is more of a customer specific issue. But I was more curious if this could actually provide you the opportunity to fill the void with higher margin work versus what you might have previously recognized with this project?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Well, I wouldn't necessarily conclude that the project that got canceled was not higher margin work. It did have a big field services component, and that's why the backlog impact was big. But we were excited about the engineering service side of it. And as you said, unfortunately, it was the client's strategic decision to not move forward with their expansion associated with some drug trials, et cetera. But the work that we're going after where it meets our margin criteria, where there's a good pipeline as I talked about whether some of those are going to hit by the end of this second quarter or will roll into the third quarter, of course, is the question. But we're pretty positive about both the backlog impact and margin impact for our Life Sciences business.
Brent Edward Thielman - D. A. Davidson & Co.: Okay. Thank you.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: So, perhaps I think there's just one more in the queue. Let's go ahead and take that call.
Operator: Our next question comes from Sameer Rathod with Macquarie. Please go ahead.
Sameer Rathod - Macquarie Capital (USA), Inc.: Thanks for squeezing me in. Just a couple of quick questions. How do we think about the focus on drug prices or reducing drug prices? Do you think this will adversely or negatively impact Jacobs' Life Science business?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Could you – we heard you towards the end, but could you repeat the question please?
Sameer Rathod - Macquarie Capital (USA), Inc.: I'm sorry. I said, do you think the increased focus on drug prices or reducing drug prices will adversely or negatively impact Jacobs' Life Science business.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Again, it's hard for us to say because we don't want to portray that we understand our clients' decisions and the way they look at it to the way they do. But I would say that we haven't seen that concern too much. I mean there is some near-term concern going on around the whole Trump administration and what's going on with regard to a lot of the production message comes from these overseas plants moving into the U.S. and will that cause any issues or delays. But, at the end of the day, our clients were in the tail end of some very important bids. Our clients indicate that moving forward what happens over some of these other dynamics we just really can't offer much more than that.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: I think that only other comment to make, Sameer, on this issue is that if you think about their mix of spend to try and get things to market, the CapEx is not necessarily the biggest percentage of spend. So, ultimately, the drivers of getting the returns they want is really trying to figure out how to get it through the regulatory process, not necessarily the CapEx.
Sameer Rathod - Macquarie Capital (USA), Inc.: Okay. Thank you. I'll leave it there.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Okay.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: All right. Well, thank you for calling in, and I appreciate your interest and we look forward to talking to you next quarter.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.